Operator: Welcome to the LeMaitre Vascular third quarter 2009 financial results conference call. As a reminder, this call is being recorded. At this time I would like to turn the call over to Mr. J.J. Pellegrino, Chief Financial Officer of LeMaitre Vascular. Please go ahead, sir.
Joseph P. Pellegrino Jr. : Thank you, Chris. Good afternoon and thank you for joining us for our Q3 2009 conference call. Joining me on today’s call is our Chairman and CEO, George LeMaitre and our President, Dave Roberts. Before we begin I would like to read our Safe Harbor statement. Today we will discuss some forward-looking statements, the accuracy of which is subject to risks and uncertainties. Wherever possible we will try to identify those forward-looking statements by using words such as; belief, expect, anticipate, forecast and similar expressions. Please note these words are not the exclusive means for identifying such statements. Please refer to the cautionary statements regarding forward-looking information and the information under the caption, risk factors, in our 2008 10-K and subsequent SEC filings, including disclosure of the factors that could cause actual results to differ materially from those expressed or implied. I’ll now turn the call over to George LeMaitre.
George W. LeMaitre: Thanks, J.J. I’ll start with a brief recap of our 20 month bottom line turn around program. And then I’ll discuss our Q3 highlights. Dave will provide a business development update and J.J. will conclude the call with some thoughts on our financial results. It seems to me that Q3 2009 underscores the turn around that we embarked upon in February of 2008. This cost cutting and corporate reengineering program was executed against the backdrop of the 2008-2009 recession. We first became cash positive in Q2 2008. We then became operating income positive in Q3. And at Q4 we went net income positive. In Q1 2009 we bought out the Edwards European elbow graft distribution rights. And more recently we have produced two clean quarters of $1 million in operating profits and $2 million in cash flow. Our $23 million cash balance is now higher than it was before the turnaround began despite the $4 million Edwards payment. As you have seen, the cash is now being used for stock repurchase program. And as always we will continue to selectively search out acquisitions. I believe our company is now a more stable, durable and profitable organization thanks to this turnaround program. Let me now tell you about the third quarter. Top to bottom I was quite pleased. Here are your three headlines. Number one, we posted record sales of $13.3 million. Number two, we posted a record $1.3 million operating profit. And finally number three, we posted record cash flow of $2.9 million. As to our first headline, sales increased 11% to $13.3 million in 2009. After stripping out currency and XenoSure our apples to apples sales growth rate was 10%. In Q3 we saw our hospital customers bounce back after reducing inventory levels in Q1. Strong Q3 results in our open vascular category accounted for most of the 10% growth. Driven by all six of our open vascular products there were no lagers. Geographically we saw broad based organic sales growth, 8% in North America, 12% in Europe and 21% in Japan. We ended Q3 2009 with 56 sales reps, up from 49 a year ago. We have been selectively adding less experienced lower W2 North American sales reps in 2009. This new rep model contains costs while allows us to add feet on the streets in smaller cities like Memphis, Tennessee and Madison, Wisconsin. With respect to our second headline, Q3 2009 $1.3 million of operating profit compares favorably to the $170,000 operating profit we recorded in Q3 2008. This was our fifth consecutive quarter of adjusted operating profits. Whereas in previous quarters we achieved profitability by cutting costs. At the heart of our record Q3 profitability was 10% organic sales growth and a better gross margin. Combined, these two improvements overcame a 7% year-over-year increase in operating expenses. Regarding our third headline, record $2.9 million operational cash flow increased our cash balance at $23 million at September 30, 2009. Given our recent profitability and current market evaluation we’ve elected to double the size of our stock buy back program to repurchase up to $2 million of our common stock through December 31, 2010. I believe LMAT represents an attractive investment opportunity and this buy back program reflects our ongoing commitment to increasing shareholder value. This $23 million cash balance combined with our ability to generate cash should leave us ample resources for acquisitions as well as internal investment such as R&D and the build out of our sales force. I’d now like to talk briefly about a new product introduction. In Q3 2009 we initiated a limited European launch of the UnBalloon. The UnBalloon is a catheter based expandable myrtenol cage which aids aortic stent graft implantation. We have now successfully completed 19 cases and will probably be executing a broader European launch in Q4 or in Q1 2010. The UnBalloon has CE marking and we will soon be filing a 5 10-K in the US. We believe the annual world wide market for stent graft modeling catheters to be in the $20-$30 million range and to carry a 10%-20% annual growth rate tied to the rapid adoption of stent grafting. My sense is that the UnBalloon will shine in the thorax and will compete in the abdomen. I’d like to conclude my remarks by reiterating the three headlines. Number one, we posted record sales of $13.3 million in Q3. Number two, we posted a record $1.3 million operating profit. And finally number three, we posted record cash flow of $2.9 million the quarter. I’ll now turn the call over to Dave Roberts, our President.
David B. Roberts: Thanks, George. I’d like to update you on the two product lines we added to the LeMaitre Vascular sales bag earlier this year, XenoSure, and AlboGraft, as well as add a little further color on UnBalloon and our Endologix distribution. In January 2009 we began distributing XenoSure, a bold line pericardium patch used primarily during carotid (inaudible) surgery. For clarification on October 1st we rebranded PeriPatch to the LeMaitre own trademark XenoSure. Sales of XenoSure in Q3 2009 increased 42% sequentially from Q2 to $333,000. As a reminder LeMaitre Vascular has an option to acquire XenoSure beginning in January 2014. We were also pleased with AlboGraft sales in Q3 2009. Our second direct to hospital quarter. With the handoff of customers complete, AlboGraft continued to build sales momentum in Q3 increasing 13% sequentially versus Q2. We continue to work towards an AlboGraft 5 10-K in the United States. Turning to UnBalloon, in Q3 we initiated a limited launch and had our first commercial sales of the devise. For background, the UnBalloon was developed from technology we acquired from Arizona Heart Innovative Technologies in December 2007. As part of that transaction LeMaitre Vascular paid $400,000 in upfront consideration. And we owe the seller approximately two times our first full year sale. We expect that this earn out will not be expense, but will impact cash balances starting in Q1 2010. On a final note, on August 11, 2009 we announced that we extended our exclusive distribution of the Endologix Powerlink stent graft in 12 European countries through June 302, 2013. In Q2 we placed our first stocking order of Intuatrack (ph). In October we had our first hospital sales of this new delivery system. And we are pleased to report we’ve proctored a handful of successful cases. With that I’ll turn it over to J.J. Pellegrino our Chief Financial Officer.
Joseph P. Pellegrino Jr. : Thanks, Dave. I will start by highlighting some key elements of the Q3 financial results and conclude with a few remarks about our 2009 guidance. As previously mentioned organic sales growth rebounded by 10% in Q3 2009, growing over $1.3 million from Q3 2008 levels, with our vascular category increasing 16% endovascular increasing 1% and general surgery decreasing 2%. Sales growth in our open vascular category was due to the increase size of our North American sales force, higher average selling prices in North America and the transition to direct distribution of AlboGraft in Europe. Our endovascular results can be attributed largely to our AnastoClip and target devices. In fact, in recent quarters AnastoClip sales may have been hampered by minor deployment issues which we have now addressed. With regards to our stent grafts, recent competitor product launches and softness in distributor purchases have applied pressure to sales. We continue to invest R&D and selling resources towards these products with the goal of carving out an appropriate ownership slice of large and growing market. We are also hopeful that the UnBalloon will have a halo effect on our stent graft sales. Organic growth increases were broad based across geographies too. Versus Q3 2008, many of our foreign geographies performed well in the quarter, including France up 46%, Japan up 21%, Italy up 22% and Germany up 13%. These gains were partially offset by sales to European distributors which were flat year-over-year. In the United States, sales increased 8% in the quarter aided by the addition of seven new sales reps. Turning to our Q3 2009 gross margin, we are pleased with our 560 basis point increase from Q3 2008. The increase was mainly a result of a reduction in inventory write downs versus the year earlier period, improved manufacturing efficiencies, higher average selling prices in the US and our AlboGraft direct initiative. It is also worth noting that that Q3 2009 gross margin of 73% caps a steady improvement recorded in the quarter since Q3 2009. Turning to the bottom line, our operating margin in the past two quarters has been solid, increasing from 8% of sales in Q2 2009 to 10% in Q3 2009. In fact, excluding the one time charge in Q1 2009 we have posted positive operating income in each of our last five quarters. This profitability and our growing cash balance positions us to take advantage of investment opportunities such as acquisitions, additional R&D engineers or sales reps or further share repurchases. Turning to our guidance, the company increased its 2009 full year sales guidance to $50.4 million to $50.6 million from $48.25 million to $48.75 million previously. The company also increased its 2009 operating income guidance to $1.4 million from $250,000 previously. Guidance figures exclude future acquisitions, foreign exchange rates, distributor terminations and factory consolidations. With that, I will turn the call back over to the operator for Q&A.
Operator: (Operator’s instructions) We will take a moment to compile a list of questions. Our first question the line of Mayank Gandhi, please proceed.
Mayank Gandhi - Cowen and Company: Hi, guys this is on behalf of Sara. Can you just quantify the four things you mentioned for gross margin implement? Would you be able to quantify?
Joseph P. Pellegrino Jr.: Yeah. I can give you sort of directional answers I think. I would say the AlboGraft piece is probably worth 0.7% or so, and the manufacturing efficiencies maybe around 1% or so and then the inventory pieces and the higher ASPs probably a bit more than that.
Mayank Gandhi - Cowen and Company: Okay, very helpful. And just going forward, so how sustainable do you think disclosed margin implement is? And just in the context of your intermediate to long term goal of increasing the gross margin to mid 70s, do you feel is that achievable in the near time?
Joseph P. Pellegrino Jr.: Yeah. I guess I would say first, you think of those manufacturing efficiency improvements that we talked about is not recurring. That said, the ASP piece and the manufacturing efficiencies piece I think you’re still going to see improvements over time. And you might get 100 basis points, sort of, in the next couple quarters or something like that. I wouldn’t say a lot more than that. But maybe in that range over the next couple quarters might be reasonable.
Mayank Gandhi - Cowen and Company: Okay. And then just the share repurchase strategy. You’ve increased, doubled the repurchase plan yet you’ve only bought a limited number of shares. So how do you reconcile that? Do you have a target in mind or how are you approaching this whole share repurchase activity?
Joseph P. Pellegrino Jr.: That’s a good question. I don’t think we’re necessarily – and clearly we’re not committed to buying $2 million worth as an absolute target. I think this plan is in place to absorb excess supply. And we don’t necessarily need to get to a predetermined figure. If the market dictates that we buy 5,000 shares a week or 10,000 shares a week then we’ll evaluate as we go along do what’s reasonable at reasonable prices. We’re still convinced that the stock is a bargain for shareholders and a good idea for the company, a good investment for the company. And so given our bullish outlook I think it make sense to continue with the buy back. And in addition, maybe there’s a piece of you that says well maybe it’s a good thing that there hasn’t been a lot more shares bought back by the company because the market maybe doesn’t have an interest in selling at these reduced prices. And that’s probably a positive signal to us as well.
Mayank Gandhi - Cowen and Company: Actually that was my question. Do you have, sort of, a price point in mind when you talk about share repurchase?
George W. LeMaitre: We’re not going to do anything stupid like buying stuff way up there. But we still feel, you know, you look good on multiple of revenues to entity values. You still feel it’s a dramatic value. And so while we still think it’s a dramatic value we’re going to keep buying. But I think we have a general sense of what medical device companies are worth. And I don’t think you’ll see us bypass that general period or that place.
Mayank Gandhi - Cowen and Company: Okay. That’s helpful. And any update on the clinical trials for Unifed and the thoracic stent?
Joseph P. Pellegrino Jr.: Sure. I can give you both of this, Mayank. The Unite trial has gained some momentum. We are now at 44 implants as of today with 10 in the queue for this quarter-ish over the next 90 days or so. So effectively you’re half way implanted in the Unite trial. And these next 10 cases are going to get you dramatically past halfway. That trial has been sped up by a number of factors recently. We’ve expanded the site number from around, I think, 16 to 21. And we also, I think, we talked about this on one of the calls. We brought in the TT introducer. We brought that over from Europe. It’s our own in-house introducer. And we replaced the old Cook introducer which was sort of an old device with that. And it’s really made the cases go better and sped up the trial a little bit. We’ve also, and you can see this in the income statement, we’ve also been spending more money in R&D and of course as you know part of that R&D bucket is the clinical trial department. I think we have four or five folks in clinical right now. And we used to have two or three people when we first started doing these calls. So we put more resources at it and it’s gotten some momentum. That’s the Unite side. On the Intrust side, which is the thoracic side, we’ve had several back and forth with the FDA over the last roughly year and a half. And we are getting there. I think we started out with something like 100-120 questions. We are down to our last two questions. And we are sending the answers in presently. We never really can predict when we get a yes out of the FDA. And I think everyone on this call knows the FDA has gotten a little cautious with passing out those yeses to people lately. But I feel like we’re getting close. And we’re still committed to getting into this Intrust thoracic trial.
Mayank Gandhi - Cowen and Company: Okay. Thank you very much.
Operator: (Operator’s instructions) Our next question comes from Larry Haimovitch of HMTC, please proceed.
Larry Haimovitch - HMTC: Very, very good quarter. I have three questions. One, Japan was notably strong. I wonder if you could provide any color on that at all, specifically was there any distributor stocking or anything unusable? Because I don’t remember Japan ever being that strong.
George W. LeMaitre: Last year apples-to-apples I believe and I’m going from memory here, Larry, I think in calendar ’08, Japan was up 23%-25%, apples-to-apples. So it was a good geography for us last year. It continues to be decent this year. In Q3 specifically to your question, we got approvals of the InvisiGrip Vein Stripper in Q2. And we got approval of the Single Lumen Embolectomy Catheters in Q2 as well. You’re seeing some of that take place over there right now. And no, it’s not really about distributor stocking orders As you know we are quasi direct over there. We have three sales reps on the ground, Italy, like Japan, you’re never really direct. You’re always going through a multi-layer distribution channel. But we are sort of direct over there, and distributor business takes up less of a percentage of our business then you’d think over there.
Larry Haimovitch - HMTC: Can you give us some sense order magnitude about how big Japan is relative – you may not want to get into the details.
George W. LeMaitre: Sure. I will just because you’re asking about Japan. I want to focus us. Unfortunately it’s not a material piece of LeMaitre. We had thought about putting it underneath the OUS category. And we just pulled it out this time. I’m going to say roughly speaking its 3%-5% of LeMaitre Vascular.
Larry Haimovitch - HMTC: Okay. So it’s still very small but obviously contributing nicely?
George W. LeMaitre: Correct. And in fact to springboard off of that, Larry the three geographies that we’re real excited about, sort of what I’ll call the virgin territory geographies are, France, Italy and Japan. These are 60 million, 60 million and 128 million person geographies where in each place we have two or three sales reps. And you can hear that you need a lot more sales reps in those places. There’s a lot of 6 million person cities in those countries that we need to fill in. So it should be relatively good growth for a relatively long time in those three countries.
Larry Haimovitch - HMTC: Okay. George or anyone, my second question, you talked about the sales reps, you’ve added more. It’s probably a little early to think that they’re at their best production or maturity. Should we expect the sales reps to continue to grow in terms of their contributions – the newer sales reps, of course, I’m talking about?
George W. LeMaitre: I’d say, yes, definitely, Larry. I think we started with this new model about 12 months ago. And it really got steam in terms of hiring only six or seven months ago. Approximately a third of the US 33 person sales force is this new model. And we’re very optimistic about how the new models working out. And as I said, the key here is it lets us cover places like, Portland and Denver where we couldn’t put a full W2 $150,000 body into those territories. Its way better with 14 product lines to have someone knocking on hospital doors in Portland than not, and that’s the hypothesis behind this change.
Larry Haimovitch - HMTC:  Third question, I'm impressed by the, what I call operating leverage this quarter that on a good sales growth you really saw some very nice margin improvement. Is the business at that bit of an inflection point where we can continue to see that kind of operating leverage sales growth at 10%, 12%, whatever it turns out to be where you can see a significantly higher margin and leading obviously to better operating profits.
Joseph P. Pellegrino Jr.: Yeah, Larry. This is JJ, thanks. I would say if you look back historically over the last three to five quarters you will, in fact, see nice leverage already coming onto the P&L and I think if you look at selling and marketing you see it coming down from the 40, somewhere down to 33%-34% which is nice to see G&A ticking down a little bit maybe from 22% down to 19% or something like that. And R&D, we're, by design, keeping flat or so as a percent of sales as try to invest more in R&D and product development. And so we've seen an 8% op income number and a 10% op income number in each of the last two quarters respectively. Where it goes from here is a good question. I guess I would frame it initially by saying if you look at our peers that are doing well, they're sort of in the 15%-25% op income range. With LeMaitre having a sort of mid 70s gross margin I don't see why we couldn't get there over time. I know that certainly seems doable to me and we'll probably comment more on this or you'll learn a little bit more on this when we give our guidance for next year.
Larry Haimovitch - HMTC: So if we look at what could be possible, you could be a 75% gross margin company with roughly 55% or 60% operating expenses leading to a 15% or 20% operating margin as the business matures and continues to benefit from crossing the line, to speak?
Joseph P. Pellegrino Jr.: Yeah. I mean that doesn’t' seem unreasonable hearing you say that.
Larry Haimovitch - HMTC: Okay, great. Thanks, guys. Congrats again.
Operator: Your next question comes from the line of Jeff Englander of Standard & Poor's.
Jeff Englander - Standard & Poor's: I am wondering if you can give us a little more color on the sales force model in the sense of how do you compare the ramp up period to productivity or (inaudible) and what level do you see (inaudible) number of these guys peaking out because you could theoretically put them in a whole buy of different places that you don't have the full W2 guys out now.
George W. LeMaitre: Jeff, I'm really sorry. This is George. I don't know if other people had a hard time hearing you, but I'm having a very difficult time hearing you. I'm wondering if you can rearrange something at your desk right now and try asking that again.
Jeff Englander - Standard & Poor's: Okay, sorry about that. Can you just talk about the new sales force model and how long it takes them to peak efficiency and at what level or what number do you think you'll get to with that type of sales person?
Joseph P. Pellegrino Jr.: Okay, great. And in fact, Larry asked at the beginning of that question and I didn't mean to dodge it. How long does it take these guys to get up to speed? I think in the old days when you hired an experienced medical device rep you're probably thinking six months until they get really going and I would say maybe you can add two or three months onto that where we do have to do a little bit more intensive training with them, a little bit more OR type training and clinical training and teach them the ins and outs of the veins and arteries. So maybe nine months you can think of like that. Another part of your question was what percent of our sales force ultimately becomes this lower W2 rep, is that your question?
Jeff Englander - Standard & Poor's: Yeah. I mean I guess in theory you could put a tremendous number of these people out there. How many people are you envisioning in this particular model?
Joseph P. Pellegrino Jr.: So broadly speaking, and I'm only thinking out now six months here, it feels like if we're at 56 sales reps worldwide right now, it feels like we're on the path to go in the immediate future towards 60, 62 of these things. I wouldn’t be surprised if we showed up for the conference call in Q1 with 61 sales reps. Right now, as I mentioned, a third of our US sales reps are this model. We're hoping to hang to a lot of those sort of grandfathered larger W2 reps. They're doing great. We're perfectly happy with those guys so it' really about turnover and how fast they turnover. And as you know, this recession, right now when you hire someone, they stay at your company for an awfully long time. Historically that's not been the case. At LeMaitre Vascular we've had some turnover in our sales force, but right now we're not losing anyone. So the transition to this lower W2 model is a little slower than we anticipated, except that we're hiring a little bit faster than we anticipated. I think one of the things that you all saw in Q3 was when LeMaitre started thinking hey; things are going pretty well in Q2 and Q3. I think we've been turning up the speed of the hiring of the new reps a little faster than we even expected because we felt like things went a little bitter than we anticipated and so if that continues you could see us twist the dial faster. But for now, maybe if we agree and we're trying to go to 61, 62 over the next 3-5 months that makes some sense and I don't really want to give guidance beyond that because we don't know where it goes. Buried inside your question is a point I like which is it does feel like this gives the model the correct proportion of W2 costs versus sales growth that I can get out of these sales reps and that's the whole reason we did this thing was before we felt like we were having a hard time bringing it together in the US. With $150,000 W2, they weren't quite making ends meet for us and now 85 it's a lot easier.
Jeff Englander - Standard & Poor's: Great, thanks very much.
Operator: Our next question comes from the line of Mayank Gandhi (ph) of Cowen & Co.
Mayank Gandhi - Cowen & Co.: Hi guys, just a couple of questions. On FX, given just the currency volatility, do you guys have any plans on — I guess how should we think about that? Obviously it's going to have a (inaudible) on the top line but how does it flow through the P&L? If you can walk us through that, that would be great. And then second question, any color on the kind activity you're seeing on the business development side? That would be great. Thank you.
Joseph P. Pellegrino Jr.: Okay. I'll take the FX question. Obviously we've seen a lot of volatility in FX over the last number of quarters and sort of up in the 150 euro and dollar over the beginning of '08 and then the big decline and now we're climbing back up again. So on balance in '09 it hasn't helped. I would say going forward that may change. The effect throughout the P&L, I would guess you could think of it as sort of 50%-60% getting its weight out of the bottom line, that is to say we think we're 50%-60% naturally hedged as expenses in Euros coming back through the P&L and get translated into dollars.
Mayank Gandhi - Cowen & Co.: Great, thanks.
David B. Roberts: And Mayank, it's Dave. Thanks for the question about biz dev. I think it's been a good year for business development from the stand point that we did that PeriPatch deal early on. We did the Edwards buyout for Q1 and then we had that Endologix renewal for just about four years and that was in August. So from sort of a biz dev standpoint it's been a nice year for us. Obviously the PeriPatch and Edwards termination and direct AlboGraft sales, those both seem to be working out nicely for the company. We're optimistic about Endologix distribution as well. It's still early days with the (inaudible) track, but seems to be a good match for us. So we're excited about that as well. And then if your question is a little bit deeper vis-à-vis acquisitions, obviously we do acquisitions as a company, we've done 10 and 12 years and so we’re always out there mining the pipeline trying to figure out what's out there and what's reasonable and what fits with us strategically? All I can tell you is we're very diligent at looking at opportunities right now and as soon as we find one that we feel like fits our standards we'll bring it to you guys and we'll announce it. So at some point you'll hear about something, but for the time being we like the three business development transaction we did earlier this year.
Operator: (Operator's Instructions) There are no further questions at this time, Mr. LeMaitre.
George W. LeMaitre: Thank you. I'd like to thank everyone on the phone call for participating and we will look forward to our next phone call with you all.
Operator: Thank you for your participation in today's conference. This concludes the presentation. You may now disconnect. Have a good day.